Operator: Good morning, and welcome to the Spartan Stores, Inc. Second Quarter 2013 Earnings Conference Call. [Operator Instructions] After today’s presentation, there will be opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ms. Katie Turner. Please go ahead, ma'am. 
Katie Turner: Thank you. Good morning, and welcome to Spartan Stores' Second Quarter Fiscal 2013 Earnings Conference Call. By now, everyone should have access to the earnings release for the second quarter ended September 15, 2012. For a copy of the release, please visit Spartan Stores' website at www.spartanstores.com under For Investors. This call is being webcast, and a replay will be available in the company's website until November 7, 2012. 
 Before we begin, we'd like remind everyone comments made by management during today's call will contain forward-looking statements. These forward-looking statements discuss plans, expectations, estimates and projections that might involve significant risks and uncertainties. Actual results may differ materially from the results discussed in these forward-looking statements. Internal and external factors that might cause such differences, include among others, competitive pressures among food or retail and distribution companies, the uncertainties inherent in implementing strategic plans and general economic and market conditions. Additional information about risk factors and the uncertainties associated with Spartan Stores' forward-looking statements can be found in the company's second quarter earnings release, fiscal annual report on Form 10-K and in the company's other filings with the SEC. Because of these risks and uncertainties, investors should not place undue reliance on forward-looking statements. Spartan Stores disclaims any intention or obligation to update or revise any forward-looking statements. 
 This presentation will include non-GAAP financial measures, as defined in Regulation G. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures and other information required by Regulation G is included in the company's earnings release issued after the market closed yesterday. It is now my pleasure to introduce Mr. Dennis Eidson, President and CEO of Spartan Stores, for opening remarks. 
Dennis Eidson: Thank you, Katie. Good morning, and thank you for joining our second quarter fiscal 2013 earnings conference call. With me this morning are members of our team, including our EVP and Chief Operating -- Chief Financial Officer, Dave Staples -- almost promoted Dave there for a minute; EVP of Retail Operations, Ted Adornato; our EVP of Wholesale Operations, Derek Jones; and our EVP Merchandising and Marketing, Alan Hartline; as well as our EVP and General Counsel, Alex DeYonker. 
 Today, I'll begin by providing you with a brief overview of our business and financial performance for the second quarter, and then Dave will share more information and specific details about the second quarter financial results, as well as our outlook for the remainder of fiscal '13. Finally, I'll provide some closing remarks, and then we will open up the call to take some questions. 
 As I reflect on the second quarter, I'm pleased with our team's ability to deliver improved value to our consumers, and despite the challenging economy, we continued to execute on our strategy and delivered results in line with our guidance. We are experiencing signs of improvement in the Michigan economy, with a slight year-over-year increase in the number of people employed and an improving economic base, albeit, at a slower pace than we originally anticipated. We remain focused on all aspects of our business in order to drive sales, and are encouraged by the initial benefits of our recent pricing and promotional efforts, as well as the new Valu Land store format, which I'll discuss more in a few more moments. 
 First, I'll review our distribution segment results. Our distribution segment sales increased approximately 1.2% for the quarter due to our success in attracting new customers with our value-added offering. I am pleased to report that this represents the eighth consecutive quarter of sales growth in this segment. On the product side, we are driving both distribution and retail sales through the expansion of our private brand program. During the quarter, we launched 75 net new private brand items for a total of over 200 items year-to-date. We ended the quarter with approximately 4,100 items, and are on track to introduce a total of 400 private brand new items this year, representing an increase of 10% since the end of fiscal '12. This program remains a key element of our strategy to increase our value proposition, and we continue to see upside in terms of unit penetration.  Private brand penetration at retail was approximately 23.5% in the fiscal year-to-date period, which continues to place us above the national average. 
 In addition, in early October, the company and the union representing our warehouse transportation and maintenance associates, ratified a 3-year labor agreement. The previous 5-year contract expired at October 2011, and the associates were working under an approved 1-year extension. This new agreement will continue to provide our associates with a competitive wage and benefit package, while giving the company additional flexibility to enhance the efficiency of its operations and a more competitive cost structure. The timely completion of this negotiation is a testament to the good relationships we have with our associates.  Going forward, in the distribution segment, our team will continue to increase our value-added service offering and sales penetration with existing distribution customers, seek new independent customers and further improve the efficiency of our distribution operations. 
 Turning to retail. Net sales in our retail segment approximated the prior year, and comp store sales, excluding fuel, declined 1%, which was in line with our expectations. As anticipated, our shift in the calendar moved a week of higher-volume summer sales days out of the second quarter, and had a negative impact of approximately 70 basis points on our comp store sales. Additionally, inflation also decelerated in the quarter versus the first quarter of fiscal '13 by approximately 120 basis points. As we discussed in the first quarter, we were encouraged by the customer response to our "Yes Is More" promotional program, which included a 90-day “Price Freeze” on over 300 items that consumers buy most, including bread, chicken and eggs. Based on the success of the program, we launched Phase 2 in the second quarter called "Yes Is Even More", featuring an extension of the 90-day “Price Freeze” and even more great values. While the “Price Freeze” has impacted retail margins, we were very pleased with the positive trends in market share and volumes on a comparable period basis. Furthermore, our customer survey data continues to point to higher levels of overall customer satisfaction, value and price perception. 
 Let me remind you that our YES Rewards program is an innovative points-based initiative. To give you a bit of perspective on the magnitude of the benefit we're providing to the consumer, we issued approximately 210 million points in the second quarter, of which approximately 90% were redeemed by our loyal customer base. We believe this redemption rate demonstrates that our value proposition is resonating with the consumer. Additionally, we continue to register new households in the program, and have increased active households to 894,000 as of the end of the second quarter. 
 We also continue to leverage our pharmacy and fuel programs as value-added rewards for our consumers. Our pharmacies posted an 8% increase in comp script count, and we opened 1 new fuel center, bringing the total to 29. Our pharmacy and fuel programs differentiate our offer, and deliver both convenience and value, which enhances our relationship with our most loyal customers, while providing a vehicle that drives traffic in store. 
 From a competitive perspective, we experienced no new supercenter openings in the first half of the year and cycled through the only supercenter opening from last year that was impacting our corporately owned stores. Currently, we do not expect any competitive openings to affect our corporate-owned retail locations in the second half of fiscal 2013. 
 Moving on to our capital plan. During the second quarter, we completed remodels at 2 stores and opened 1 new fuel center. During the remainder of the year, we expect to complete 2 additional major remodels. We continue to work on rolling out our new value-based concept, Valu Land, and plan to open 3 new stores by the end of the fiscal year. The 3 sites have been chosen and contracts signed, so these are well underway. In the meantime, we remain encouraged by the early customer response to our latest opening, and believe Valu Land will provide organic growth opportunities both inside and outside the State of Michigan. We look forward to sharing our progress with you in future quarters. 
 With that overview, I'll turn the call over to Dave for more details on the second quarter financial results and outlook for the remainder of fiscal 2013. Dave? 
David Staples: Thanks, Dennis, and good morning, everyone. Consolidated net sales for the 12-week second quarter increased to $621.6 million from $619.6 million in the year-ago quarter, as higher distribution and fuel center sales offset a slight decline in supermarket sales. Distribution and fuel sales represented 41.7% and 7.6%, respectively, of consolidated net sales compared to 41.4% and 7.2%, respectively, in last year's second quarter. 
 The consolidated gross profit margin for the second quarter decreased 40 basis points to 21% from 21.4% in the same period last year. The decline in gross margin was primarily due to the continued impact of reduced inflation-driven inventory gains in both the distribution and retail segments; the expansion of the “Price Freeze” and "Yes Is Even More" promotional campaign in the retail segment; and the mix shift towards distribution and fuel sales, which carry a lower margin than our retail sales. 
 Second quarter operating expenses were $111.3 million or 17.9% of net sales compared to $112.8 million or 18.2% of net sales in the same period last year. Our expense leverage was driven by continued productivity improvements in the distribution segment, lower employee-related expenses, and the absence of unusual corporate professional fees recorded in the last year's second quarter. These items were partially offset by noncash pretax asset impairment charge of $400,000 compared to a restructuring benefit of $100,000 last year. 
 Adjusted EBITDA for the quarter was $29 million or 4.7% of net sales compared to $31.1 million or 5% of net sales last year. Earnings from continuing operations for the second quarter of fiscal 2013 were $10.4 million or $0.47 per diluted share, including an after-tax asset impairment charge of $200,000 or $0.01 per diluted share and an after-tax benefit from the sale of assets of $400,000 or $0.02 per diluted share. For the second quarter of fiscal 2012, earnings from continuing operations were $10.3 million or $0.45 per diluted share, including an after-tax charge for unusual corporate professional fees of $700,000 or $0.03 per diluted share. 
 Turning to our operating segments.  Second quarter net sales for the distribution segment increased 1.2% to $259.2 million from $256.2 million in the year-ago period. Second quarter operating earnings for the distribution segment increased 22.7% to $10.8 million compared to $8.8 million in the same period last year. The operating earnings increase is largely due to the cycling of the $1.2 million in unusual corporate professional fees, lower employee-related expenses versus last year and continued improvements in warehouse operating efficiency, partially offset by lower gross margin due to reduced inflation-driven inventory gains as the rate of inflation continues to decline on a quarter-over-quarter basis. 
 In our retail segment, second quarter net sales were $362.3 million compared to $363.4 million in the same period last year. Comparable store sales, excluding fuel, were down 1% due in part to calendar shift, which negatively impacted comparable store sales by 70 basis points and the decelerating inflation rate. Retail segment operating earnings for the quarter were $8.1 million compared to $11.2 million in the second quarter of fiscal 2012. The operating earnings decrease was due to higher promotional expenses associated with the second phase of our "Yes Is Even More" promotion; lower inflation-driven inventory gains; lower fuel margins and the asset impairment charge. 
 From a cash flow perspective, our operating cash flow was $20.1 million at the end of the second quarter compared to $35.7 million from the same period in fiscal 2012. The decrease was principally due to the timing of working capital requirements, which will reverse over the remainder of the year. In addition, as we've previously mentioned in the first quarter, we prepaid $9.8 million in federal taxes to take advantage of certain tax law changes, which will reverse over the remainder of fiscal 2013. 
 During the second quarter, we also repurchased 30,000 shares of our stock for a total of $500,000, and now have slightly less than 50% of our $50 million share repurchase program still available for future stock repurchases. Total net long-term debt was up $32 million to $147.5 million as of September 15, 2012, versus $115.5 million at the end of the second quarter of fiscal 2012, primarily reflecting the uses of cash previously mentioned.  On a sequential basis, we reduced our net long-term debt by $7.1 million from the first quarter, and we expect to further reduce it and return to more normal levels by the end of fiscal 2013. 
 I will now provide further detail on our outlook for the remainder of fiscal year 2013. We expect comparable store sales for the remainder of the year to trend favorably when compared to the second quarter of fiscal 2013 due to continued promotional programs, store remodels, more seasonal weather patterns and the timing of the Easter holiday. As a reminder, we are cycling the aggressive rollout of our loyalty program to Family Fare and D&W in the third and fourth quarters of fiscal 2013, which will slightly offset these favorable factors. We believe diluted earnings per share from continuing operations for the last half of the year will slightly exceed the prior year results, excluding the 53rd week last year, and previously disclosed items that are not expected to recur in this year's fourth quarter. The combined effect of these items in the prior year's fourth quarter was a benefit of $0.11 to $0.12 per diluted share, predominately related to the 53rd week; the LIFO credit; favorable incentive compensation expenses and occupancy costs. 
 And finally, we reiterate our previous guidance for capital expenditures for fiscal year 2013 to be in the range of $42 million to $44 million, with depreciation and amortization in the range of $39 million to $40 million and total interest expense in the range of $13 million to $14 million. 
 This concludes our financial discussion, and I will now turn the call back to Dennis for his closing remarks. Dennis? 
Dennis Eidson: Thanks, Dave. So in conclusion, we are encouraged by the progress we made on a number of fronts on the first half of fiscal '13. We've entered the second half of the year with some momentum, and have opportunities to build on the success of our loyalty program and deepen our consumer relationship. We plan to make additional strategic promotional and capital investments in both our distribution and retail segments to attract new customers and enhance our programs for consumers. The "Yes Is Even More" campaign is providing the benefit anticipated and thus, we expect to continue the “Price Freeze” strategy. We are committed to mitigating the retail margin impact through a combination of strategic promotional and capital investments to drive higher volumes, while focusing on a disciplined approach to managing our controllable costs to improve profitability long term. Our distribution and retail operational improvements to date are a testament to the efforts of our dedicated associates, consumers, independent retailers and suppliers, and on behalf of the management team and the entire organization, we thank them for their continued dedication and support.  And with it -- with that, we now open the call to your questions. Michael? 
Operator: [Operator Instructions] Our first question comes from Chuck Cerankosky of Northcoast Research. 
Charles Cerankosky: When you're looking at the second half of the year and you're talking about the promotional programs, the Yes Rewards and the "Price Freeze", what kind of balance are you looking at between sales growth and gross margin impact and operating profit margin as this thing proceeds through the rest of the year, Dennis? 
Dennis Eidson: Well, we gave you some guidance with respect to comps, and so I think we -- we're going to stay, obviously, with that and we have just given you. We do believe that the investment that we made in margin has been worthwhile, but we also believe, as we're learning now 6 months into the program, there are ways to potentially mitigate that investment. So the positive tonnage we generated in Q2 is really heartening to us, and really gives us a little bit of courage to do some things with respect to staying aggressive. So I think our -- and we've given you guidance on the bottom line. We've given you guidance on the top in terms of comps, and we're telling you that we think we can mitigate the investment. But we're really pleased with the results we've gotten from the "Price Freeze" program. I mean, some of the categories have lifted dramatically as a result of the effort. We've had, I think, deli ham for -- I think it will be 9 months at the end of this cycle at $2.99 a pound for the whole duration. Our deli lunch meat business is up 15%, the whole category. Breast chicken business is up 24%. We've had tuna in the first 2 cycles. Our tuna volume was up 40%, and that's the whole category. So you can see, it's resonating with the consumer, and we're just feeling pretty bullish about it. 
Charles Cerankosky: So right now, the read I get into the second half is maybe a little bit less than that margin investment, but we will see margin investment? 
Dennis Eidson: You will continue to see margin investment. 
Charles Cerankosky: Okay. And you mentioned you're rolling something out. I missed it. I was taking a note, rolling something out, the Family Fare and one of the other banners, what was that? 
David Staples: Chuck, I think you're probably referring to the comment we made last year in the third and fourth quarter. We were rolling out the "Yes Is More" program, to the Yes program, not "Yes Is More". Yes program to Family Fare and D&W for the first time. So that would mitigate some of the other positive things that are going on in the third quarter. 
Charles Cerankosky: Okay, got you. That's -- it was a year-ago thing, all right. And then can you give us an assessment of Valu Land? At this point, you're obviously rolling it out, but what are you learning in the first couple of stores that will be put into the stores that will open in the second half? And is this a program that accelerates -- greenfield store opening program that accelerates because of the state of the economy? 
Dennis Eidson: I wish we had more color to give you from the last time. We don't have -- we still have Lansing. The Lansing location is our prototype, and we continue to talk to customers, and understand what is driving their visiting the store and becoming loyal customers there. Not a whole lot has changed since the last call. We do have these 3 stores that are going to open before the fiscal year is out, and 2 of them within the next 45 days or so. We tweaked a few things on decor and signage. We've taken the item count down a little bit from where it was. We saw more variety than was meaningful. So we made little adjustments, but on balance [ph] , pretty close to the pro forma we had in place. Now we are anxious to see this in another marketplace. The next 3 stores will be in Metropolitan Detroit and larger population base in the surrounding prime trade area. So we're anxious to how it resonates there. 
Charles Cerankosky: How about the future openings beyond this second half, say, view of 3? 
Dennis Eidson: Well, it was still in a bit test mode, but you should expect that it will be a more aggressive store count in next fiscal year than we had in this fiscal year, and the same for the following fiscal year. We think we can ramp it up pretty quickly. They're pretty easy to open. The opening, preopening expenses are relatively nominal. The capital investment isn't too great. So we should see our pace quickening as you look at the out years. 
Charles Cerankosky: What's the cost to open -- to develop and open one of these? 
Dennis Eidson: We're spending about $1.5 million in capital to get the store opened. As you know, it's much less than a conventional box and the -- it's just a simpler business to run all around, which is how you can afford the lower price it is in. And you price cheaper than the competitors, and so it would be nice for you to actually touch and feel one. And if you get into the market, we'd be delighted to host you. 
Operator: Our next question comes from Karen Short of BMO Capital Markets. 
Karen Short: Just a couple of clarifications. First, private label, the 23%, that was a percent of units at retail, correct? 
Dennis Eidson: 23.5% year-to-date units at retail, which is [indiscernible] -- it's actually, it isn't about -- it is 60 point -- 68 points more than the national average for the same period. 
Karen Short: Okay. And what's the penetration at distribution? 
Dennis Eidson: Penetration at distribution is significantly less. As you know, our distribution customer base has a whole different fleet of store sizes and shapes, and it's -- Dave, do you have that number in front of you? 
David Staples: The distribution tiers between the 17% and 18%. 
Dennis Eidson: I don't have it right in front of me, Karen. I can get back to you with that. But to Dave's point, it usually runs 17%, 18%, trails the corporate store, but trends similarly. 
Karen Short: Okay, that's helpful. And then just looking at your -- all this initiatives you have, have you seen any competitive responses from your increases in promotional activity? 
Dennis Eidson: Our footprint is so tight. Our competitors are so few. I better be cautious. Not a lot, actually. I mean, they -- some, but no one has taken the list of "Price Freeze" items and just gone under them or matched them, and I think everybody is -- and our competitors continue to run their programs, and we have not seen a lot of reaction. 
Karen Short: Okay. And the 2 or the 3 more Valu Lands that you're going to be opening, those are new locations or those are conversions? 
Dennis Eidson: We don't anticipate at this moment any more conversions, Karen. So the Valu Lands we'll be talking about on the go-forward are going to be -- probably brownfield would be the more appropriate term. And by the way, the Spartan wholesale customers for the same period is 16.78%. 
Karen Short: Okay. And then, I guess, the last question I have is, obviously, there was a lot of discussion at the Wal-Mart Analyst Day about new store openings, and I know you can't comment on what to expect for the rest of the year. But I guess, the first question, I was wondering if you have any visibility on whether or not there will be any neighborhood markets opening up against you next year, and as well, any visibility on what the supercenter openings will be for the next fiscal year? And then any comments or color on how a neighborhood market opening would affect you versus the supercenter? 
Dennis Eidson: We do not have any visibility on neighborhood markets coming into the marketplace this year or next year. We do have some visibility on supercenter openings in the marketplace. I think we know of one that we believe will -- Wal-Mart Supercenter that will open, again, it's a corporately owned store next fiscal year, probably toward the middle or the end. And Karen, we don't -- we haven't had any neighborhood markets in our near geography, and we haven't studied them aggressively. I don't know that I would be able to give you a really robust answer on what that impact might look like. Obviously, we would prefer, as everyone, that they not penetrate the market. I think Michigan is a bit of a unique marketplace in a lot of different ways. It is a state that is not building population. We're actually showing a little bit of decline in population, and we certainly have lots of square footage of food retail. And really, over the past several years, there's been very limited new square footage for food retail developed. I would think it's probably more stuff than that, not the most likely candidate. 
Karen Short: Yes, I would think so too, but okay. 
Operator: Our next question comes from Scott Mushkin of Jefferies & Company. 
Scott Mushkin: I want to start out with a little bit of a strategic question. First of all, if I look at your EBITDA dollars, they're kind of bouncing around here, I don't know, kind of 100 to 105 range, let's just say, as round numbers. My question is with your current footprint, can that number meaningfully grow as we move into the next few years? I'm not asking for a guidance or anything, but just can you conceptually grow with what, Dennis, you just described as going out, Michigan slightly shrinking? If we can -- can we get the EBITDA dollar growth back because you were growing it back, I think, the last decade. So that's question number one. And my question number two is it seems like, as you mentioned, Valu Land going outside of Michigan, if you can't really get a decent growth rate in Michigan, is your appetite for going outside of Michigan going up? How might we see it? And if you could give us some parameters if you were to make an acquisition or organic growth on that? 
Dennis Eidson: Yes. The answer to your first question is yes. EBITDA growth is attainable, and I think there's a number of ways that we'll be able to do that, and are planning to do that, not the least of which is Valu Land. We think that is going to be accretive moving forward, and is a key component to our top line and bottom line growth strategy. Secondarily, we do believe that there are still roll-up opportunities with regard to independent customers that we can execute in the marketplace, and those tend to be lumpy, and you can't always predict when they're going to come, but it is another plank to our strategy that we're going to continue to probe on. We do have an appetite to grow outside the state of Michigan, and we've been very clear about that, and I think that can manifest itself in a number of different ways. Valu Land would be one of them, and I think it's very likely. Secondarily, we continue to work very hard as a value-added wholesaler to try and add distribution volume outside of the State of Michigan that we can service here from Southwest Michigan and -- but it's kind of a stay tuned. Having distribution customers change wholesalers is -- really, it is a process. It's not an event and we're working very hard at that. I think if you look at the distribution segment and for 8 consecutive quarters, we've posted positive sales gains. But I think if you benchmark that against other wholesalers that are operating in our geography, that's a pretty good story. So I think that's the other way and of course, being acquisitive outside of the state boundaries is also something that is in our strategic plan. So I think there are multiple ways that we could accomplish that. 
Scott Mushkin: And would you like a facility, a distribution facility outside the State of Michigan? Or do you feel comfortable you can service what you need to out of your current? 
Dennis Eidson: No, I think in a perfect world, we would see another distribution facility outside of the State of Michigan. 
Scott Mushkin: Okay, so then -- great answer, I appreciate it. As a follow-up, just trying to understand kind of where the management's head is. You look back over the last 3 or 4 years, clearly, the business has been challenged. You seem a little bit more positive on your own business, and is that confidence in that or am I -- first of all, am I reading that right? And then secondly, it seems like that business is stable. You're kind of comfortable. Are you feeling -- and we haven't seen an acquisition in a while even in the market. Are you feeling more comfortable it's time to get more offensive insofar as the strategy goes or no? 
Dennis Eidson: I want to balance kind of our tone, but yes, I do feel better about the fundamentals than I did 6 months ago. And when you're starting to see the tonnage improve, the comps are getting better and the fact that our consumer surveys are coming back far more positively at retail. As you know, we have this constant customer feedback mechanism at our checkout, and our overall satisfaction scores continue to improve. And maybe, as importantly or most importantly in this kind of value-driven world, we are seeing scores on price perception go up rather significantly. As a matter of fact, in the most recent 12-week period, our score for positive price perception has improved by 11%, and we attribute that primarily to the "Yes Is More" and the "Price Freeze". But I will tell you that -- and we are just likely now a year of launching the Yes loyalty in the Grand Rapids market, our largest market. I think it's more than just the "Yes Is More" and the "Price Freeze". And we've got this points-based program. I think consumers are finally kind of getting a little bit more ingrained into their value kind of equation. This week, we launched a free turkey with points for Thanksgiving, and so the points are resonating. Script counts being up 8%, I think, is a pretty heavy number for us. And I think consumers are understanding the value of the free drugs, as well as the 4 and 10. We're consistent with our fuel offer at $0.05 a gallon, but we pulse that up to $0.50, at least, once a period, sometimes twice. And I think the synergy of all of that has begun to work as they drive that value equation for our consumers. And so I'm heartened by that, the fact that if you look at the Nielsen data, at least, the data I'm looking at, nationally, we're reading at about tonnage being negative in the space, and the fact that we're bucking that trend. And the comps, remember that 70 points of that negative 1.2, really, emanated from the shift out of summer, as well as we ate 120 points of decelerating inflation, if you will, and that's why we're heartened. The private label business heartens us. It heartens me. You think about the recession, nearly 2/3 of customers said, they were -- they bought private brands, and were comfortable buying them prior to the recession. Now you had 27% more household say they've moved to private brands during the recession, and half of them say they're going to continue to buy private brands. That's 60 million households nationally. I think there's gold in that mine, and I think we've been ahead of the curve, as treating private brands as a strategic initiative, and we're poised to mine that gold. 
Scott Mushkin: And is this -- that was a great answer again, but is this giving you more confidence that it's time to go on the offense strategically and then I'll yield? 
Dennis Eidson: I think we're going to be prudent. I mean, it's -- on the acquisition front, it takes 2. We need the right partner, and certainly, we're willing to pay fair values, but the multiples in the industry have been so depressed with what's happened over the last several years. I think the targets potentially are looking for bigger numbers, remembering the old days, right? And the fact that many of their P&Ls are also depressed, and they're maybe hoping that they can move those numbers up. So that they have a better base and maybe the multiple gets better. But I think, generally, the answer to your question is probably the timing is better now than it has been any time the last couple of years. 
Operator: [Operator Instructions] Our next question comes from Ben Brownlow of Raymond James. 
Benjamin Brownlow: Talking about the market share, and gaining a little market share there, is there any data or color that you can provide around that? 
Dennis Eidson: I put that in -- David, I put that in the release. I don't want to give you much color, Ben, and that's because I don't want to be transparent, but our footprint is so narrow and our competitors are so few that if I give you much more color, I'm not sure I'm doing the right thing to protect my business. I would say the reason we put it in there is because we are very encouraged by what we're seeing with regard to market share, and frankly, it's not only the retail side of the business. Our independent businesses also are seeing some nice movement in that number. So it's a positive number for us, and I don't really think I want to go much further. 
Benjamin Brownlow: I understand. And switching gears, the efficiency initiatives that you have with the distribution segment, can you talk about some of those initiatives, going forward, second half of this fiscal year and next fiscal year? 
Dennis Eidson: Well, we've got a number of things that we're working on with the advent of the new contract. We have some flexibility that we didn't have in the old contract, and that certainly is something that we're going to put to good use. And it's not only with regard to hiring, but it's work rules, and we're going to mine that data. And then the other thing is that there are some technology investments that we intend to make in the facility that will allow us to operate more efficiently and effectively, and the combination of those 2 could be pretty meaningful as -- meaningful to us as we move forward. 
Benjamin Brownlow: Okay. And what's the timing on those technology investments? 
Dennis Eidson: What is... 
David Staples: Q4 into Q1 of next fiscal... 
Dennis Eidson: So it will be at the end of next fiscal year. 
Benjamin Brownlow: Okay. And then just 2 last ones for me. The -- what sort of impact do you expect from the Easter shift? And if you have any sort of data or color you can provide around the fuel margin impact, whether it's EPS impact or just the absolute margin change on fuel. 
David Staples: Sure. If you look at Easter, it actually falls probably in the most favorable way it could. So it falls the day after the end of our fiscal year. So you basically get the entire selling week, and then not the tough week after. So how Easter works, you get a great sell into it, and then it's a tough week after it and the holiday kind of blends out. It would be somewhat neutral when -- if you have both those weeks in the same period. So we'll get the maximum effect of having the selling week, and then not the week after. As far as fuel, fuel is pretty inconsequential for us this quarter, actually, slightly negative, probably under a couple hundred thousand dollars negative. 
Operator: Our next question is a follow-up from Chuck Cerankosky of Northcoast Research. 
Charles Cerankosky: Looking at inflation over the rest of the year, Dennis, it's turned to, I guess, slight deflation in the most recent quarter across with your whole sales mix. How do you see it shaping up for the rest of the fiscal year, given the theories about how the drought is going to impact pricing? And probably, more importantly, how do you see the CPGs passing those costs through and their willingness to offset some of that impact with trade and consumer promotions? 
Dennis Eidson: Yes, we did go slightly deflationary on the retail selling price in Q2, and so that -- and we talked about the 120 points that we decelerated from Q1 to Q2. I think we're seeing that kind of moderated. I don't think we're going to see a lot of inflation in the -- at least in this fourth calendar quarter. We are seeing the same reports that you're alluding to around some of what's going on with the price of feed and particularly around proteins: beef, veal, and chicken. We're seeing some pretty significant inflation, but it's been there a while. It may jump again. Pork has softened a little bit. That's mitigating a bit. The customer is shifting. So if beef prices go way up, we pulled out [ph]  A heck of a lot more chicken and now part of that we did, but part of it is the consumer looking for a value in terms of the protein. So we don't see any gyration on inflation. And even looking into next year, the USDA is talking about 3% to 4% inflation for food at home, and it's really kind of a historical average. The CPGs, the ingredient cost is just one part of that cost of goods when you take a look at the packaging and the manufacturing expenses and the shipping. Those contribute more than the raw ingredient cost to that final end cost of goods. We're not seeing a lot of inflation or cost increases being passed through at the moment. There's some exceptions to that. We're seeing a little bit of strength in some of the dairy-related product: milk, cheese. Kraft just took an increase, so -- but that's more of a one-off at the moment. 
Operator: Our next question is a follow-up from Scott Mushkin of Jefferies & Company. 
Scott Mushkin: So my question is what -- and it's just trying to gauge an estimate from you. What percentage, if you were going to take Meijer and Wal-Mart out of the mix and go just to the traditional kind of supermarket industry, between your wholesale business and your retail business, do you have any idea, guess, in what your market share is in that, just that traditional marketplace? 
Dennis Eidson: We've done that work before, Scott. I just don't have it in front of me. I would just be guessing. I don't have that. 
Scott Mushkin: The second question is because your tonnage is up, we've seen it in some of our data, and it's definitely outpacing the national tonnage by quite a bit at this stage. So do you think that's true in your markets as well? 
Dennis Eidson: Scott, I'm sorry. I didn't hear the first part of your question. 
Scott Mushkin: The tonnage, that our data shows you gaining tonnage versus the national data, as well as what you said. My question is do you believe the tonnage in your area you're gaining is... 
Dennis Eidson: Well, yes. I think that, yes, the answer is we're gaining tonnage, and it's not because we think the market is growing. We believe that the tonnage in the market is negative, and we're the outlier -- well, there could be more than one outlier, but we're going the opposite direction of the market in terms of tonnage. 
Scott Mushkin: Okay, so you would attribute it to -- this is the crux of my follow-up question, so you would attribute most of what you're seeing not through an improving economy in Michigan, but mostly through the strategic things that you guys have done? 
Dennis Eidson: Absolutely. 
Operator: Thank you, sir, and this concludes our question-and-answer session. I'd now like to turn the conference back over to management for any follow-up remarks they may have. 
Dennis Eidson: Well, thank you, all, for participating in the call today, and we certainly appreciate your interest in Spartan Stores, and we look forward to meeting with you at Investor Events in the coming months. Thank you. 
Operator: And thank you for your time, sir. The conference is now concluded, and we thank you for attending today's presentation. You may now disconnect your lines and have a wonderful day.